Operator: Good day, and welcome to the Exponent, Inc. Q4 2024 Earnings Conference Call. Please note this event is being recorded. I would now like to turn the conference over to Joni Konstantelos. Please go ahead.
Joni Konstantelos: Thank you, operator. Good afternoon, ladies and gentlemen. Thank you for joining us on Exponent's fourth quarter and fiscal year 2024 financial results conference call. Please note that this call will be simultaneously webcast on the Investor Relations section of the company's corporate website, at www.exponent.com/investors. This conference call is the property of Exponent, Inc. and any taping or other reproduction is expressly prohibited without prior written consent. Joining me on the call today are Dr. Catherine Corrigan, President and Chief Executive Officer, and Rich Schlenker, Executive Vice President and Chief Financial Officer. Before we start, I would like to remind you that the following discussion contains forward-looking statements, including but not limited to Exponent's market opportunities, and future financial results involve risks and uncertainties that may cause actual results to differ materially from those discussed here. Additional information that could cause actual results to differ from forward-looking statements can be found in Exponent's periodic SEC filings, including those factors discussed under the caption Risk Factor in Exponent's most recent Form 10-Q. The forward-looking statements and risks in this conference call are based on current expectations as of today, and Exponent assumes no obligations to update or revise them whether as a result of new developments or otherwise. And now I will turn the call over to Dr. Catherine Corrigan, Chief Executive Officer. Catherine?
Catherine Corrigan: Thank you, Joni, and thank you everyone for joining us today. I will start off by reviewing our fourth quarter and fiscal year 2024 business performance. Rich will then provide a more detailed review of our financial results and outlook for 2025, and we will then open the call for questions. Exponent delivered fourth quarter results above expectations to cap off a solid 2024, demonstrating the resilience of our business. Our focus on effective resource management drove significantly improved utilization and EBITDA margin. Demand for our proactive services strengthened in the second half of the year, driven by the consumer electronics and utilities industries. Growth in reactive services was supported by robust activity in utilities and medical devices. Notably, in the fourth quarter, the chemicals industry improved with increased activity in both litigation and regulatory engagement. Turning to our engagements in more detail. Within our proactive services, we are pleased with the increased activity in user research studies and product development consulting in the consumer electronics, along with strong demand for our risk-related work in utilities. Clients rely on Exponent for our expertise across the product life cycle, including issues related to digital health and wearables, such as advanced sensors and health applications, as well as engagements in augmented and virtual reality. Increased activity in the utility sector was driven by our work related to integrity management, advising clients on risks and mitigations with respect to their infrastructure. Both in our reactive services was also robust in the utility sector in the quarter. With the increasing global demand for energy and the related investments in infrastructure, Exponent is actively involved in failure analysis and dispute-related projects around the globe. We also saw increased reactive engagements related to medical devices, involving product liability as well as regulatory matters. Our teams are closely following the activity of the new administration in Washington so that we can position ourselves to respond to the opportunities and challenges faced by our clients. Our work directly for the federal government, which comprises approximately 3% of the business, consists largely of advanced technology evaluations and integrations for the Department of Defense and Department of State. Our work in these areas has not been impacted. With regard to our chemical regulatory work, while uncertainty at the EPA could slow decision-making on client products in the near term, it may also create a more permissive environment for certain substances, which shift emphasis from regulation to litigation. Our proactive chemical regulatory work represents 5% of our business, of which approximately two-thirds is performed outside of the United States, for clients who need to navigate a myriad of complex and global regulatory frameworks. At the FDA, we anticipate the possibility of heightened scrutiny, particularly in the areas of chemicals and processed foods. With regard to our work in emerging chemicals such as PFAS, much of this is driven by litigation at the state and municipal levels, which has not been impacted, and we would not expect it to be impacted going forward. We are well-positioned to support our clients as they navigate the complexities of a dynamic global regulatory environment and at the same time pursue their long-term product strategies. We are pleased to deliver these top-line results while at the same time matching essential improvement in utilization. As Rich will discuss, our successful alignment of resources with demand across the business over the last eighteen months positions us at the start of 2025 with a 5% to 6% headwind on year-over-year growth due to reductions in our headcounts. Our increased recruiting activity in the back half of 2024 has begun to bear fruit as we turn the corner on sequential headcount reductions. We are focused on growing our headcount in line with our market opportunities with sequential increases each quarter in 2025. Moving into 2025, we continue to see transformation across industries driven by a broad array of intense forces ranging from extreme weather and increased energy needs to the accelerating use of artificial intelligence in critical decision-making. Technological advancements are transforming the transportation industry, from powertrain electrification and automation to the increasing deployment of robo-taxis. Digital health applications such as wearable technologies are bringing data and insights into human health like never before. Utilities face the challenge of hardening and optimizing their grids while maintaining safety in the midst of transition to novel power sources. In the face of these challenges, clients rely on Exponent's specialized and interconnected expertise to navigate the uncertainties resulting from the increasing pace of technological change. I will now turn the call over to Rich to provide more detail on our fourth quarter and fiscal year 2024 results as well as discuss our outlook for the first quarter and the full year 2025.
Rich Schlenker: Thank you, Catherine, and good afternoon, everyone. Let me start by saying all comparisons will be on a year-over-year basis unless otherwise noted. I would like to remind everyone that the fourth quarter and fiscal year 2024 results included an extra week, which occurs every fifth to sixth year. The extra week included the New Year's holiday and vacations, so the extra week contributed revenues of approximately 5% to the fourth quarter growth and 1.25% to the year growth. For the fourth quarter of 2024, total revenues increased 11% to $136.8 million, and revenues before reimbursements, or net revenues as I will refer to them from here on, increased 9% to $123.8 million during the fourteen-week quarter as compared to the thirteen-week period in 2023. Net income for the fourth quarter was $23.6 million, or $0.46 per diluted share, as compared to $20.9 million or $0.41 per diluted share in the prior year period. The realized tax benefit associated with accounting for share-based awards in the fourth quarter of 2024 was $591,000, or one cent per diluted share, as compared to an immaterial amount in the fourth quarter of 2023. Inclusive of the tax benefit from share-based awards, Exponent's consolidated tax rate was 24.7% in the fourth quarter as compared to 30.4% in the same period in 2023. EBITDA for the quarter was $31.2 million, producing a margin of 25.2% of net revenues as compared to $30.5 million or 26.8% of net revenues in the same period of 2023. Billable hours in the fourth quarter were approximately 360,000, an increase of 5% year over year. Average technical full-time equivalent employees in the fourth quarter were 947, which is a decrease of 6% as compared to one year ago. Headcount is down year over year as we have aligned our resources with demand, allowing us to achieve strong utilization and margins for the year. While our average FTEs are down, we have turned a corner and have grown our consultant headcount by approximately 1% since the end of the third quarter. Utilization in the fourth quarter was 68%, up from 65% in the same period of 2023. The realized rate increase was approximately 4% for the fourth quarter as compared to the same period a year ago. In the fourth quarter, compensation expense after adjusting for gains and losses in deferred compensation increased 11%. Included in total compensation is a gain in deferred compensation of $629,000 as compared to a gain of $9 million in the same period of 2023. As a reminder, gains and losses in deferred compensation are offset in miscellaneous income and have no impact on the bottom line. Stock-based compensation expense in the fourth quarter was $4.9 million as compared to $3.2 million in the prior year period. Other operating expenses in the fourth quarter were up 17% to $12.5 million, driven primarily by the increased non-cash expense of our Phoenix, Arizona lease renewal. Included in other operating expenses is depreciation and amortization expense of $2.5 million. G&A expenses declined 3% to $5.7 million for the fourth quarter. This decrease was primarily due to the postponement of our in-person managers meeting. Interest income increased to $2.6 million for the fourth quarter. Higher interest income was driven by an increase in cash and cash equivalents. Miscellaneous income, excluding the deferred compensation gain, is approximately $900,000 for the fourth quarter, which included $500,000 for FX gain. During the quarter, capital expenditures were $2.6 million, and we distributed $14.2 million to shareholders through dividend payments. Turning to the full year results. For the fifty-three-week fiscal year 2024, total revenues increased 4% to $558.5 million, and net revenues increased 4% to $518.5 million as compared to the fifty-two-week fiscal year 2023. Net income for the year increased 9% to $109 million or $2.11 per diluted share as compared to $100.3 million or $1.94 per diluted share in 2023. The tax benefit associated with accounting for share-based awards in 2024 was $2.8 million or $0.05 per diluted share as compared to $3.6 million or $0.07 per diluted share in 2023. Inclusive of the tax benefit for share-based awards, Exponent's consolidated tax rate was 26% for the full year as compared to 26.2% in 2023. For the year, EBITDA increased to $147.1 million as compared to $137.7 million during 2023, producing a margin of 28.4% of net revenues, which is an increase of seventy basis points as compared to 2023. Billable hours for 2024 were approximately 1,495,000, approximately flat year over year. Utilization for the full year was 73%, up from 69% in 2023, bringing us back to a solid operating level. Average technical full-time equivalent employees for the year were 967, a decrease of 8% as compared to 2023. The realized rate increase was approximately 4% for the year. Compensation expense after adjusting for gains and losses in deferred compensation increased 3%. Included in total compensation expense is a gain in deferred compensation of $14.9 million as compared to a gain of $14.3 million during 2023. Stock-based compensation expense in 2024 is $23.2 million as compared to $20.4 million in the prior year. Other operating expenses were up 11% to $46.2 million, driven primarily by the increase in non-cash expense of our Phoenix, Arizona lease renewal. Included in other operating expenses is depreciation and amortization expense of $9.7 million for the year. G&A expenses were down 7% to $22.7 million in 2024. The decrease in G&A expenses is primarily due to a reduction of the use of outsourced personnel and a decrease in travel and meals as we postponed the 2025 in-person managers meeting. Interest income increased approximately $2.9 million to $10 million for the full year. Higher interest income was driven by an increase in cash and cash equivalents. Miscellaneous income, excluding deferred compensation gain, was $2.9 million for 2024. Moving on to our cash flows. During 2024, we generated $145.5 million in cash from operations, and capital expenditures were $6.9 million. For the full year, we distributed $58.2 million to shareholders through dividend payments and did $5.7 million in share repurchases. As of year-end, the company had $258.9 million in cash and cash equivalents. Turning to our segments. Exponent's engineering and other scientific segment represented 83% of revenues before reimbursements in the fourth quarter and 84% of revenues before reimbursements for the full year. Revenues before reimbursements in this segment increased 8% for the fourteen-week fourth quarter and 5% for the fifty-three-week full year, driven by demand for Exponent's services across the consumer products and utilities industries. Exponent's Environmental and Health segment represented 17% of net revenues in the fourth quarter and 16% of net revenues for the full year. Net revenues in this segment increased 11% in the fourteen-week fourth quarter and were approximately flat for the fifty-three-week full year. Growth during the fourth quarter was primarily due to a resurgence in engagements in the chemicals industry. Turning to our outlook for the first quarter and full year 2025. We are starting 2025 with a 5% to 6% deficit in headcount. As such, we expect net revenues for the first quarter of 2025 to be down in the low single digits as compared to the same period of 2024. Based on anticipated demand and hiring, we expect net revenues for the year to grow in the low single digits for the full year 2025. As a reminder, we will return to a fifty-two-week fiscal year in 2025. The extra week in 2024 posed a 1.25% headwind for the full year net revenue comparison. For the first quarter of 2025, we expect EBITDA margin to be 25% to 26% of net revenues. For fiscal year 2025, we expect EBITDA margin to be 25.25% to 27% of net revenues as compared to 2024. We are expecting lower full-year margins due to the increased non-cash expense associated with our Arizona lease renewal, the company-wide managers meeting deferred to 2025, the loss of the tenant in the Menlo Park facility, and an increase in stock-based compensation. While we are starting the year with a 5% to 6% headwind in technical full-time equivalent employees, we expect increased demand and corresponding recruiting results in quarterly sequential headcount growth of approximately 1% to 2% each of the quarters of 2025. As a result, we expect year-over-year headcount growth by the third quarter of 2025 and to end the year at least 4% ahead of where we started the year. As we return to growing headcount, we expect utilization in the first quarter to be 74% to 75% as compared to 75% in the same quarter in the prior year. And we expect the full-year utilization to be 72% to 73% as compared to 73% in 2024. We still believe our long-term target of sustained mid-70s utilization is achievable as we continue to strategically manage our account and balance utilization with market demand. We expect the realized rate increase for the first quarter and full year to be 3% to 3.5%. Based on the expected sequential headcount growth during 2025, future realized rate increases, and incremental progress towards our long-term target utilization, we expect revenue growth in 2026 and beyond to be in the high single to low double digits. For the first quarter, we expect stock-based compensation to be $8.2 to $8.5 million, and each of the remaining quarters to be $4.6 to $5.6 million. For the full year, we expect stock-based compensation to be $24 to $24.5 million. We continue to believe that our stock-based compensation program effectively attracts, motivates, and retains our top talent. For the first quarter, we expect other operating expenses to be $12.4 million to $12.9 million. For the full year, we expect other operating expenses to be $50.5 to $51.5 million. The increase in other operating expenses is primarily due to the extension of our Arizona lease. This will have a $1 million impact on each of the first two quarters and a total of $2 million impact for the year. We are very excited to have secured this facility as we believe it will continue to be an integral part of our growth, especially with the advancement of automated vehicles. For the first quarter, we expect G&A expenses to be $5.8 to $6.2 million. For the full year 2025, we expect G&A expenses to be $25.7 to $26.7 million. The increase in G&A is primarily due to an expense of approximately $2 million for a firm-wide managers meeting in the third quarter of 2025. This meeting is an important investment in people development that brings together our multidisciplinary teams, develops our key talent, and fosters the next generation of leaders and business generators. We expect interest income to be $2 to $2.2 million per quarter in 2025. In addition, we anticipate miscellaneous income to be approximately $200,000 per quarter in 2025 or $800,000 for the full year as compared to $2.9 million in 2024. We continue to work to replace the tenant that we lost in our Menlo Park facility. For the first quarter and full year 2025, we do not expect any tax benefit associated with share-based awards as compared to a tax benefit of $900,000 or $0.02 per diluted share in the first quarter of 2024 and $2.8 million or $0.05 per diluted share for the fiscal year 2024. As a result, we expect the first quarter 2025 tax rate to be approximately 28% as compared to 25% in the same quarter a year ago. For the full year 2025, the tax rate is expected to be 28% as compared to 26% in 2024. Capital expenditures for the full year 2025 are expected to be $10 to $12 million. We are encouraged by the resilience and strength that our business model has demonstrated and remain confident in our ability to sustain profitable growth. I will now turn the call back to Catherine for closing remarks.
Catherine Corrigan: Thank you, Rich. 2025 represents significant market opportunities for Exponent. Industries must continue to transform to meet market demands and stay competitive in the setting of accelerating technological change. At the same time, they must meet ever-increasing societal expectations regarding the safety and health of their customers and communities. Exponent is focused on the growth and development of our unparalleled and interconnected ecosystem of scientific and engineering talents, as we stay ahead of the curve and deliver the breakthrough insights that will drive long-term profitable growth. Operator, we are now ready for questions.
Operator: We will now begin the question and answer session. If at any time your question has been addressed and you would like to withdraw your question, please press star then two. The first question comes from Andrew Nicholas with William Blair. Please go ahead.
Andrew Nicholas: Hi. Good afternoon. Thanks for taking my questions. First, I wanted to ask about visibility. It sounds like chemicals are a little bit better. Really across the board, you are seeing pretty good demand, proactive and reactive, even against some difficult comps on the reactive side. But I wanted to ask how confident you are in the near-term pipeline and maybe relatedly, how we should think about the conservatism of your guidance with those dynamics involved.
Catherine Corrigan: Yeah. No. Thank you, Andrew. And you are right in your observation about the chemicals industry. You know, I am pleased with how that activity has returned. And look, we are enthusiastic about the opportunities that we have when you think about the broad market drivers. Right? Everything from increasing power demands that are driving a lot of the risk work in utilities to everything that is going on around digital health technologies. You know, we saw in the fourth quarter around electronics that we had a healthy level of activity in both our user research as well as our product development consulting and hardware-related work. As we look into the first quarter, you know, look, we are starting at a 5% to 6% deficit as Rich explained in our FTEs. And we did have strong activity in Q1 of 2024. If you remember, we have a bit of a tough comparison there. We have lots of litigation and regulatory activity going on in that quarter. So, you know, we do expect sequentially as we go into Q1 that the user research work might be a little bit less than it was in Q4, but we see a nice pipeline going into Q2 on that. You know, that is really more the normal ebb and flow and timing of client needs more than anything. You know. And so, look, we are confident in that. You know, we think we have done a good job of assessing a realistic pathway toward continuing to grow our headcount, you know, knowing that that takes time and investment and effort, you know, when you talk about hiring PhDs and so forth. And so we are heavily and you know, we expect as Rich said that in the back half of the year, we will start growing that headcount year over year and be able to, you know, accelerate in that way.
Operator: Our next question comes from Tobey Sommer with Truist. Please go ahead.
Tobey Sommer: Thank you. You commented some about in your prepared remarks in the press release about the energy infrastructure business elsewhere, if you could spend a little bit more time talking about how that has performed and what the outlook is. Thank you.
Catherine Corrigan: Yeah. Yeah. Thanks, Tobey. When we talk about the energy sector, we really are talking about the utility side as well as the generation side. If you think about oil and gas and renewables, as well as the delivery side in terms of utilities. And we all know that there is increasing demand in the setting of needing to transition energy into new forms of power. And so this portfolio is robust on both the proactive as well as the reactive sides. You know, when you think proactively, this is not permitting and things like that. You know, the proactive work is more around our risk work for utilities, where we leverage our failure analysis expertise to use predictive modeling to try to help utilities understand the risk of fire ignition, for example. And so the proactive work is really related to that risk and safety area. On the reactive side, this goes across both the oil and gas world as well as the renewables world. And so this is going to be your wind farm installations, your battery energy storage systems at utility scale, this is going to be your liquefied natural gas facilities. A lot of issues related to failure analysis as well as disputes around construction delays, and these are all around the globe. We see these domestically. We also see these internationally. And with the increasing use of AI and data centers, they all need power. And the reason looking at, you know, novel sources of power, like modular nuclear reactors, and so our risk work applies to that area as well. So that is really the portfolio. It is reactive, it is proactive, and it is across the various forms of energy, you know. So as we see shifts from oil and gas to renewables or even if we swing back toward more oil and gas, those infrastructure investments are going to be made and we are going to be there to help in the dispute side as well as in the proactive risk side.
Operator: And the next question comes from Josh Chan with UBS. Hi. Good afternoon, Catherine and Rich. Thanks for taking my question. And thanks for proactively addressing the rig. I just wanted to kind of close the loop on that. You mentioned the chemical regulatory work and then the FDA. Is that the extent of your work with any type of regulatory bodies, I guess? Maybe could you kind of, if not, kind of could you bracket for us kind of what percentage of your revenue do you feel like you are helping clients address kind of a regulatory concern? Thank you.
Rich Schlenker: Yeah. So in total, we do approximately about 10% of our work in either proactive areas of helping people through the regulatory process with our scientific background. So as Catherine had mentioned before, that is related to registering your chemicals with the safety and health assessment. But it also is for clients that are bringing a medical device or drug through the FDA process as well. The other side of our regulatory work is really in clients' responding to regulatory investigations and such, normally around product recalls and health issues. So those do span into the consumer product safety commission, into NIFA around the transportation area, it is obviously involved in EPA as well. Those would be the primary agencies that we would see where we do regulatory work in total. About both proactive and reactive combined is this 10%. As Catherine indicated, about half of that is in the chemicals area. And about 70% of that chemicals area is international in nature outside the US. So our total exposure probably in the US is somewhere between 5% to 7% that is engaged in one way or another where our clients are engaged with the regulatory agency.
Josh Chan: That is really helpful color. Thanks for that, Rich. And then I guess for my follow-up, obviously, you would rather kind of grow revenue faster than you are kind of guiding for the year. So I guess to the extent that staffing is kind of the constraint, what is the opportunity to kind of accelerate recruiting? I know that it is not easily done, but just kind of thinking about, you know, to what extent that could kind of provide some upside or does that just take time to get with your organization? Thank you.
Catherine Corrigan: Well, it does, of course, take time. But look, I think what is important here is that we are aligning the pace of recruiting with the demand profile that we are seeing, you know, to ensure that we got those you are never in perfect lockstep with those. You know, of course, we have the ability to surge as you have seen in the past, you know, in order to meet those client needs and not leave work on the table. So we absolutely continue to have that ability. And look, you know, you can accelerate recruiting activity, but the goal is really to be in line and to do that in a way that is, you know, and that is going to deliver, you know, on pace for the kind of growth that we, you know, that we talk about, which is this high single-digit to low double-digit growth. You know, this year, because of the actions we very much needed to take over the last eighteen months, you know, we are at this 5% to 6% deficit going into the year, but the pace of activity that we have going on now around recruiting really is, you know, going to yield that 1% to 2% per quarter. So if you think about that pace of activity, it is what we need to achieve, that high single to low double-digit growth. But we have to, of course, overcome that initial hurdle in the first couple of quarters, which we are on pace to do.
Josh Chan: Okay. Makes sense. Thank you so much for the color and your time.
Catherine Corrigan: You are welcome.
Operator: Again, if you have a question, please press star then one. Our next question is a follow-up from Tobey Sommer. Please go ahead.
Tobey Sommer: Thanks. Could you provide the size of the chemicals business and kind of quantify the magnitude of the increase as well as your outlook for whether or not it has legs?
Rich Schlenker: Yeah. So the chemicals business overall is a little of, you know, is in the low single in low double digits as a percentage of our business overall. And, you know, the improvement was, you know, in the low to mid-teens as a percentage of growth rate year over year for the fourth quarter.
Tobey Sommer: Terrific. And based on the duration of the project, typically, or is there a way to assess whether the momentum is sort of short-term or represents a longer-term rebound?
Rich Schlenker: Yeah. So they are typical projects for us. So they are litigation as well as proactive work that is ongoing at quite a variability of the length. Our feeling is, and really to be honest, the look at what was coming in, engaging with our staff, it is not about one or two projects or a handful that really are driving it. It is about where is the level of activity coming back around. You know, remember a year ago in the fourth quarter, it was really about clients pausing work or deferring work related to litigation. A lot of these are very long-term litigation areas that are out there, so the clients that can sort of research as well as dealing with individual cases. Those activities we had expected a year ago might come back right away early in the year in the first quarter or so. It definitely took longer for that to come back around. And that is really more of what we saw as we progressed through the year.
Tobey Sommer: And could you update us on your thoughts on how AI is helping and hurting the company so far, I guess, with a particular eye on the reactive side in terms of the willingness of courts, judges, the plaintiffs, regulators to accept more automated data in a court setting.
Catherine Corrigan: Yeah. Yeah. Thanks, Toby. So look. We have talked before about the opportunities for our work in AI systems that are making safety-critical decisions. Right? So our work in advanced driver assistance technologies, you know, work related to those kinds of algorithms being used in medical devices and so forth. And, you know, this advanced driver assistance area for litigation continues to grow, and we continue to build and position more and more experts through our research and so forth. You know, in terms of the willingness of courts to accept things, the courts put a heavy layer of scrutiny on all experts' testimony and data. And that is something that is regularly, you know, part of the process. Is that any data that an expert is bringing forward as part of the foundation to their opinions, you can count on it being challenged directly by the other side. And so this is one of the reasons why I think Exponent has historically been so strong in terms of its ability to withstand that kind of scrutiny. So even in situations where AI is being deployed as part of those analyses, you can be sure that the courts are going to be insisting on high levels of scrutiny of those because that is the judge's gatekeeping function. And so I do not see that changing anytime soon, and I know that the legal association is looking at developing specific guidelines and, you know, there is case law and so forth. So, you know, this just increases the complexity, the volume of data, and the type of data that can be utilized. And I think Exponent positions quite well in that regard.
Tobey Sommer: Thank you very much.
Catherine Corrigan: You are welcome.
Operator: Seeing that there are no further questions in the queue, this concludes our question and answer session and the conference. Thank you for attending today's presentation. You may now disconnect.